Operator: Good day and welcome to the A10 Networks' Fourth Quarter 2015 Financial Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Maria Riley, Investor Relations for A10 Networks. Please go ahead.
Maria Riley: Thank you all for joining us today. I am pleased to welcome you to A10 Networks fourth quarter and year 2015 financial results conference call. This call is being recorded and webcast live and may be accessed for one year via the A10 Networks website, www.a10networks.com. Joining me today are A10's Founder and CEO, Lee Chen; A10's CFO, Greg Straughn; and our VP of Global Sales, Ray Smets. Before we begin, I would like to remind you that shortly after the market closed today, A10 Networks issued a press release announcing its fourth quarter and year 2015 financial results. Additionally, A10 published a presentation along with its prepared comments for this call and supplemental trended financial statements. You may access the press release, presentation with prepared comments, and trended financial statements on the Investor Relations section of the company's website www.a10networks.com. During the course of today’s call, management will make forward-looking statements, including statements regarding our projections for our first quarter operating results, our expectations for future revenue growth, profitability and operating margin, expectations for customer buying patterns and the growth of our business generally. These statements are based on current expectations and beliefs as of today, February 9, 2016. A10 disclaims any obligation to update information contained in these forward-looking statements whether as a result of new information, future events, or otherwise. These forward-looking statements involve a number of risks and uncertainties, some of which are beyond our control that could cause actual results to differ materially. We disclaim any obligation to update these forward-looking statements as a result of future events or otherwise. For a more detailed description of these risks and uncertainties, please refer to our most recent 10-Q filed on November 6. Please note that with the exception of revenue, financial measures discussed today are on a non-GAAP basis and have been adjusted to exclude certain charges. A reconciliation between GAAP and non-GAAP measures can be found in the press release issued today and on the trended quarterly financial statements posted on the company’s website. We will provide our current expectations for the first quarter of 2016 on a non-GAAP basis. However, we will not make available a reconciliation of non-GAAP guidance measures to corresponding GAAP measures on a forward-looking basis due to high variability and low visibility with respect to those charges, which are excluded from these non-GAAP measures. Before I turn the call over to Lee, I’d like to announce that management will attend the Morgan Stanley Technology, Media, and Telecom Conference in San Francisco and we hope to see many of you there. Now I will turn the call over to Lee for opening remarks. Lee?
Lee Chen: Thank you, Maria. I’d like to thank you all for joining our fourth quarter and year 2015 financial result conference call. We delivered a very strong fourth quarter with revenue exceeding our guidance and achieving our third consecutive quarter of record revenue. We also continued to drive leverage through our operating structure and improved our bottom line by [70%] [ph] year-over-year. Looking at our topline performance in more details, total revenue grew 25% year-over-year and 12% sequentially to reach $56.6 million and product revenue grew 22% over last year and 13% over Q3 to reach a record $39.5 million. We also generated record bookings, added over 200 new customers and expanded our reach within existing customers. Our growth this quarter was driven by a broad based increase in demand across our product portfolio and customer verticals. We won a multimillion-dollar order from a tier-one, service provider in North America as they continue to enhance their CGN infrastructure. We also grew enterprise bookings 23% year-over-year to reach a new record. We continue to see adoption of our platform in public and private cloud deployments and saw particular strength for our high-end security focused Thunder products. Revenue for our Thunder TPS solution contributed more than 10% of fourth quarter revenue, bringing our total TPS revenue for the year to 10% of our total revenue. I would like to highlight a few recent customer win examples: A global cloud hosting provider that has been an A10 ADC customer for over five years chose our TPS solution with our aGalaxy management system to help secure their infrastructure and sell DDoS as a service to their global customers. A large U.S. service provider customer expanded their Thunder TPS deployment in three additional data centers to help ward off volumetric DDoS attacks on their public cloud. A leading Japanese service provider placed follow on orders for our Thunder TPS solution that were more than double their initial early-2015 deployment. A global enterprise software company selected our Thunder ADC with SSL offload. This Financial Times top 50 company chose A10 because of our technical expertise and the ability to easily migrate from the legacy vendor to our solution. A leading global financial services customer chose to deploy A10 in two new areas of their network where we helped them reduce trading latency by half. They are also deploying A10’s Thunder ADC solution to replace a competitor in their India datacenters. And a multinational commodity trading company chose to deploy our Thunder ADC with SSL insight as part of their new firewall infrastructure in order to help alleviate blind spots in encrypted traffic. The fourth quarter was a strong close to the year. We are pleased with our momentum throughout the year driven by our continued execution and innovation. In 2015 we grew revenue 11%, added over 800 new customers and ended the year with a strong backlog. We also continued to expand our market opportunities and widen our technology leadership over the competition with new innovations and industry firsts that map directly to some of the fastest growing networking and security market trends. First, we introduced ACOS 4.0 and A10 Harmony Architecture that are cloud ready and threat smart. ACOS 4.1 automatically generates a comprehensive set of open application programming interface or APIs, and provides our Thunder appliances the agility to integrate with third party cloud management software as well as rapidly integrate with A10’s own management solutions. We also launched the aGalaxy 3.0, our powerful centralized management system that leverages the ACOS Open APIs for managing ADC and TPS appliances in datacenters and private and public clouds. Additionally, we further enhanced our DDoS solution with the introduction of Thunder TPS 3.2 that enables more organizations to provide Smarter DDoS attack detection and dynamic instant mitigation. Thunder TPS 3.2 integrates with Verisign’s cloud DDoS protection service for automatic protection of volumetric attacks; it also leverages ACOS Harmony Open API to integrate with existing DDoS detection solutions. And last quarter we announced our newest software based security platform, Thunder Convergent Firewall or CFW, which is scheduled for release this quarter. Thunder CFW is a standalone software based security platform that leverages our ACOS Harmony architecture and includes a high-performance secure web gateway with SSL Insight, a datacenter firewall, a GI firewall and an IPSec site-to-site VPN. Just as we brought carrier and web scale performance to the ADC, with CFW, we are bringing carrier and web scale performance to security. Our advanced technology platform is at the core of our ability to add new customers, expand our reach within our existing customers and quickly bring new products to market. We believe the trends we see in the market today are in direct alignment with our product strategy and strengths as a company. We serve the high end of the market and our customers include some of the most demanding enterprise, service provider and cloud provider networks. When we look into 2016 and beyond, we see the growing transition to the cloud as an opportunity to grow our business given our technology differentiation. Our application and security platform is designed to deliver carrier and web-scale application and security performance, integrate with third party cloud management software or our powerful centralized management system with real-time troubleshooting. Furthermore, we have a strong brand and relationship with the very companies that are investing in and building public and private cloud infrastructures, as well as software as a service and Web 2.0 providers. In fact, 19 of our 20 top booking customers in 2015 were in one of these categories. Furthermore, half of the companies in the leaders and visionary section of Gartner’s 2015 Cloud Infrastructure as a Service magic quadrant are A10 customers. In summary, we believe that with our highly scalable, flexible ACOS software platform we are well positioned to grow as more security features and functions continue to converge onto cloud-ready platform and as more networks are virtualized and transition to the cloud. Over the past year, we believe we have made substantial progress in executing our strategy to build a strong foundation for long-term growth, while at the same time, improving our bottom line. With that, I’d like to turn the call over to Greg, to review the details of our fourth quarter financial performance and first quarter guidance. Greg?
Greg Straughn: Thank you, Lee and thank all of you for joining us today. Fourth quarter revenue grew to a record $56.6 million, up 25% compared with $45.2 million in the prior year. Deferred revenue grew 27% year-over-year and 10% sequentially to reach a record high of $72.8 million and revenue for the full year grew 11% to $199 million, up from $179 million in 2014. Fourth quarter product revenue grew 22% year-over-year to reach $39.5 million, representing 70% of total revenue. This compares with $32.3 million, or 71% of total revenue in the prior year fourth quarter. Service revenue grew 33% to $17.2 million, or 30% of total revenue, compared with $12.9 million, or 29%, in the fourth quarter of 2014. From a geographic standpoint, fourth quarter revenue from the United States grew 54% year over-year to reach a record $31.5 million, representing 56% of total revenue. Fourth quarter revenue from Japan was $11.4 million, or 20% of total revenue, compared with $10.1 million or 22% of total revenue in the fourth quarter of 2014. Revenue from EMEA was $6.8 million, or 12% of total revenue, up 9% year-over-year. And revenue from APAC excluding Japan was up 5% year over year to reach $5.7 million, or 10% of total revenue. For the full year, the U.S. and EMEA were our fastest growing regions at 25% and 41%, respectively. Our enterprise and service provider revenue mix this quarter was 48% and 52% of total revenue, respectively. We achieved enterprise revenue of $27.3 million, representing a 16% increase from Q4 of last year. Service provider revenue came in at $29.3 million, up 35% when compared with $21.7 million in the fourth quarter of 2014. From a customer perspective, as Lee mentioned, we secured a large win with an existing service provider customer in the quarter that when combined with other orders and ongoing purchases from this customer, accounted for 19.7% of total revenue in the fourth quarter. For the full year, our revenue was well diversified with no single customer accounting for more than 10% of our revenue. As we move beyond revenue, all further metrics discussed on this call are on a non-GAAP basis, unless expressly stated otherwise. We delivered fourth quarter total gross margin of 76.4%, within our expected range of 75% to 77% and up 60 basis points over the prior quarter. Product gross margin was 75.8% in Q4 of 2015, unchanged from the prior quarter and compared with 77.2% in the fourth quarter of 2014. Our services gross margin came in at 77.8%, an increase of 193 basis points versus Q3’15 and a 62 basis point increase from Q4 of 2014. We ended the quarter with staff of 826, up from 816 at the end of Q3. Q4 Sales and marketing expense was $27.6 million or 48.7% of revenue, compared with $23.7 million or 46.6% of revenue in the prior quarter. The increase in sales and marketing expense was primarily attributable to higher sales commissions. Q4 R&D expense totaled $12.2 million or 21.50% of revenue, compared with $12.1 million or 23.8% of revenue in the prior quarter. Fourth quarter combined G&A and litigation expense was approximately $6.7 million or 11.8% of revenue, compared with $6.8 million or 13.3% of revenue in Q3. In total, fourth quarter non-GAAP operating expenses were $46.4 million or 82% of revenue, compared with $42.5 million or 84% of revenue in the prior quarter. Fourth quarter non-GAAP operating loss was $3.2 million, compared with a loss of $4 million in the third quarter. Our non-GAAP net loss in the fourth quarter was $3.7 million or $0.06 per share, within our guided range of $0.06 to $0.09 per share. Q4’s net loss represents a 15% sequential improvement, compared with a net loss of $4.4 million or $0.07 per share in Q3 and a 70% improvement when compared with a loss of $12 million or $0.20 per share in the fourth quarter of 2014. Basic and diluted weighted outstanding shares for the fourth quarter were approximately 63.7 million shares. Moving to the balance sheet, at December 31, 2015 we had $98.1 million in total cash and equivalents, a $2.4 million decrease from the end of September and up $6.2 million compared with December 31, 2014. During the quarter, cash used in operations was $4.2 million and for the full year, we generated $3.4 million in cash from operations. We ended Q4 with $57.8 million of net accounts receivable, compared with the Q3’15 balance of $41.5 million. Average days sales outstanding increased by one day from the prior quarter to 81 days. Moving on to our outlook. We are entering Q1 with a very strong and diversified backlog and are pleased with our strong start to the year. We currently expect first quarter revenue to be in the range of $52 million to $55 million. At the midpoint, this represents a 22% year-over-year revenue growth. We expect gross margin to remain in the range of 75% to 77% and operating expenses to be between $45 million and $47 million. For modeling purposes, please note that we are currently planning modest sequential increases in OpEx throughout 2016, and we remain committed to achieving our stated goal of reaching non-GAAP operating income profitability during 2016. We expect to report a non-GAAP net loss of between $0.07 and $0.09 per share using approximately $64.3 million shares on a basic and diluted basis. In setting this, we are assuming the yen exchange rate remains in a range of approximately 115 to 120. With that, I’d like to open up the call for your questions. Operator?
Operator: [Operator Instructions] The first question comes from Brent Bracelin of Pacific Crest Securities. Please go ahead.
Brent Bracelin: Thanks. Greg, a couple questions, if I could, on kind of the return to 20% growth here. Bright spot in the U.S., looks like it was - bright spot this quarter looks like it was the U.S., up over 50%. Walk us through the drivers there. It sounds like you did have a large U.S., I believe, service provider customer in the quarter that helped drive that growth. Question one. And then question two, as you think about the guide up here looking for another quarter of north of 20% growth, what's giving you the confidence? Is it the continuation of trends in the U.S.? Are you seeing international bookings strengthened? Any color on what's giving you confidence in the sustaining 20%- plus growth here in Q1 would be helpful as well.
Lee Chen: Brent, this is Lee. Let me answer the question first, maybe Greg can add some color to it. I think even without the single largest 19% revenue customer, it would still be a record booking for Q4. So we believe we are very well positioned in the area where our customer are investing on pubic cloud, private cloud, Web 2.0, and software as a service and we created a high end market where functionality of performance are important for customers. I think the service provider is our sweet spot. The power ACOS platform position A10 well for the SP market. And we enter the Q1 with very strong backlog and we use the same methodology we use look at the pipeline, applying the same methodology, come up with a Q1 forecast and we are very comfortable with our Q1 forecast. Greg?
Greg Straughn: Brent, I think relative to the guide and actually, when we talk about the prior quarters, we saw a very strong and consistent bookings growth throughout Q4 and saw momentum in all of our geographies and across all of our products. And as we look at that and extend with what we saw the pipeline growth being as it led into Q1, it gave us good comfort that that coupled with our backlog and with where our products are positioned sets us up very well for Q1. And the fact that we are guiding up is just kind of a fallout of where the numbers came out once we complete our analysis.
Brent Bracelin: Perfect. If you could drill down a little bit into what's driving kind of the strong and consistently improving bookings run rate here. Is it the cable kind of space starting to come back a little bit? Is it outsized kind of wins in cloud? Any additional color maybe by vertical, if you could, in what's driving the consistency on the bookings side here.
Lee Chen : I think from the last record quarter is really driven by cloud, security, and high-end [indiscernible] market. This is where the area we are really strong. We have a technology differentiation.
Brent Bracelin: Okay. Fair enough. And then last question for you, Greg, is on - obviously a year ago as we were kind of were on the call, the big concern was around the cash burn rate. Obviously you generated cash in the last year. As you think about kind of looking over the next year, aspirations to turn profitable at some point this year, but do you expect to generate cash from ops again this year?
Greg Straughn: I think by the end of the year, yes, and as we’ve seen over the last couple of quarters is that we can go and generate a couple of million dollars, a few million dollars or use a few million dollars. And I suspect we’ll just have that same variants around zero for the next several quarters, and then once we turn operating income profitable we should be cash flow positive at about that same time. So, I think as we look forward for the next year, cash is not one of those items that is going to be an item of concern for us.
Brent Bracelin: Okay. Thank you.
Operator: The next question comes from Catharine Trebnick with Dougherty & Company. Please go ahead.
Catharine Trebnick: Thank you for taking my question. Nice quarter. I have two. One, a housekeeping. You did indicate that your sales number was up this quarter significantly. Can you go back through, I might have misdialed into the call, as to why that was so high this quarter? Sales and marketing was like $27 million. It was up quite a bit.
Greg Straughn: So, the sales and market expense. The primary driver on the increase there was the sales commissions. As in Q4, you’ve got people who are moving into accelerators, but also as we have backlog, that becomes a commission item as well. So, these are items that are just Q4 oriented. Notice, we are not taking overall expenses down dramatically into Q1. So as we move into Q1 it has more to do with headcount and some of the Q1 activities that start to pop into place but there is no fundamental change in how we’re doing sales and marketing in Q4 that drove that.
Catharine Trebnick: All right. And then the other question is really to do with the competitive landscape. On your - Lee, on your entry you talked a lot about some nice wins, particularly in the DDoS area. Are you taking share or are you seeing new opportunities? And that question's related to both the carrier environment and the enterprise. Thanks.
Lee Chen: Our focus really continue to be technology and performance, to be the technology and performance disrupters. So competition has been around since we’ve started the company. It’s nothing new. But we continue to serve the high end of the market. Our strength is about performance, about functionality, are important for customers. Also our security, we branch into security offering. I think that has really helped increase the pipeline and the deal, it extends into our existing customers. Initially we sell ADC and now we can sell TPS, in addition to ADC for most of our customers, and for some of this service provider customer, we have three products we sell ADC, CGS, and TPS. I think that has really helped to drive the market. Also the cloud, cloud has really helped drive the revenue for the last quarter. And we continue to see the movement to cloud.
Catharine Trebnick: Okay. The reason I was asking is Radware just recently reported and they're still struggling with some carrier spending and it looks like you're doing quite well on the carrier spending. I was just trying to rectify. Have you seen any pause in carrier spending for any of your three opportunities or do you continue to see strong growth in 2016?
Lee Chen: I think we are well positioned in the service provider market. Service provider has been our sweet spot for years. It's really is our technology, the power of ACOS that really differentiates us from our competition. In the last quarter, our SP spending has been very strong so we can call a quarter a trend but we have not really seen an incremental headwind to the SP. Service provider is always going to be lumpy. But we like our position. Now we have more product to sell into a space. So we feel good about our position with SP customers.
Catharine Trebnick: All right, thank you.
Operator: The next question comes from Ittai Kidron of Oppenheimer. Please go ahead with your question.
Ittai Kidron: Thanks. Hi, guys and congrats on a good quarter. I wanted to dig in into this large customer and kind of get your perspective on whether the upside in the quarter came from that customer or it came from others. I'm just trying to make a - get a better understanding of how much visibility you had into that customer and how much you will spend into December. And also what are your working assumptions with regards to that customer or any other 10% customer in March? Is there a 10% customer expected? What I'm hoping to avoid is a situation where there's a big gap to kind of fill in somewhere in the mid year.
Greg Straughn: Thanks for the note there. As it pertains to this particular customers, I want to call it a couple of things. One is that it wasn't a 19% deal with the customer, they were 19% customer. So the large deal did not represent that entire amount. Secondly is that, as we went into our guidance, we had pretty good visibility on this transaction. So there is really nothing about it. That was a surprise. So the upside as we move to the quarter, was primarily due to what I mentioned earlier which was the consistent strong bookings across a lot of products and lot of regions. So it’s, kind of, cumulative effect as opposed to this deal dropping in to the quarter. And then when we look at whether this creates a hole in Q1, if you recall back in Q2, we had a large deal as well and there was concern that created a hole in Q3, and it did not. And so the same thing is true here with strong backlog going into Q1, strong sales momentum, good confidence in the pipeline. And so we don't feel like we are stepping out ahead of ourselves on the Q1 guidance. We are confident that all the elements that we have together in business, will make that number a reality.
Q – IttaiKidron: Okay. Excellent. And then second question is with regards to the business environment, we all look what's going on around us in the rest of the world. What is it that you're seeing - Lee, what is it that you're seeing out there? A lot of FX movement in many regions, Latin America and Asia, clearly a lot of macro issues are surfacing here and there. What are you hearing from customers? How do you get comfort that what you see is what you'll get?
Lee Chen: Yes, I think we read the same headline as you did. We are not immune to the macro economies. Even in last quarter, LatAm has been a challenge for us, especially Brazil. But on the other hand, overall we are pleased with our growing momentum. We ended the quarter, we said very strong backlog, and our credit pipeline is growing. We are seeing continued movement to the cloud and I feel we are very well positioned to the public and private hybrid cloud. And Web 2.0 software as a service, these are all the area, I think we have strong position. Also the high-end security offering has been really gaining a lot attraction. So overall, we feel confident entering the Q1.
Q – IttaiKidron: Okay. Very good. Lastly for Ray. Ray, on the enterprise side, it's the second year in a row, I guess, that the enterprise business is down sequentially in fourth quarter, which is counterintuitive. You'd think budget flush plus your year end as well, salespeople pushing. What is it that makes for a sequential decline in that fourth quarter? How do I get my hands around that?
Ray Smets: So Ittai, this is Ray. How you’re doing. I think from a booking’s perspective, you’d see a very different story. So from a revenue perspective, you see the decline. We had a very strong bookings quarter. And even though, the service provider market looked very strong, on the revenue side, we saw very strong bookings on the enterprise side as well. So I think you’re getting somewhat of an incomplete picture there. We actually feel very strong about our position in enterprise as well as service provider.
Lee Chen: Yes, our enterprise booking in Q4, as we grew 23% year-over-year. 
Q – IttaiKidron: Okay. Very good. Excellent. Good luck. Congrats, guys, good luck.
Operator: The next question comes from Rod Hall of JPMorgan. Please go ahead.
Q – Unidentified Analyst: Hi. Thanks, and thanks for taking my questions. This is Ashwin on behalf of Rod. I wanted to go back to this multimillion dollar deal with the service provider customer. Lee, I remember you mentioned about large deals possibly in the pipeline in mid-2015. Is this the deal that you were talking about six months ago? And kind of related to that, over what time frame do you think you'll continue to measure revenue on this deal?
Lee Chen : For the service provider we always have large deal the pipeline. So I don’t know if this is referring to same multi-million deals. But I want to just clarify the - even though we say large, multi-million dollar deals, this is not comprised of 19% revenue. Even result of 19% revenue customer in Q4, we still have a record booking quarter. Greg, maybe you want to add.
Greg Straughn: As to the second half of your question, there are about --
Unidentified Analyst: Over how many quarters do you think you'll continue to recognize revenue from the deal?
Greg Straughn: Well, the product piece of it was all shift and recognized within Q4. And then the maintenance related to that will be recognized over a year. So that particular deal has most of it in Q4 and it will have some services piece over the next, I think is 12 month.
Unidentified Analyst: Great. And then I have a follow-up on gross margins. As the number of SKUs in your product portfolio increase and more security products are going to be available soon, first, I wanted to ask about the predictability of future gross margins. Do you feel your confidence level in predicting gross margins would change materially as new products get added to your portfolio? And second, how should we think about margin impact from the upcoming security products?
Greg Straughn: At the individual product level, our security products can do have a higher gross margin than the classic ADC products. And so take as a unitary thing, they would tend to have upward influence on the other side of that equation as we expand in some developing countries, the gross margins there tend to be lower. So there is a little bit of a push pull on multiple factors within each quarter. And we feel like we're getting better forecasting that. The SKU impact is something that we're trying to mitigate. We have done some more things with our supply chain to make our manufacturing more predictable to bring down lead times to have more cross utilization from one product to the next. So overtime, we expect that our supply chain activity will be added to gross margin as opposed to subtracting from it.
Unidentified Analyst: Great. Thank you.
Operator: [Operator Instructions] The next question comes from James Fawcett of Morgan Stanley. Please go ahead.
Eugene Anderson: Hi. This is Eugene Anderson on for James. Thanks for taking my question. Just a little bit more on the enterprise side of things. How much of your activity was driven more by new customers versus, say, like repeat sales? And perhaps within repeat, are you seeing a trend towards higher deal sizes and perhaps upselling towards other products?
Greg Straughn: We tend not to break down our results between those two. But we can give you some color here. I'll start off and Ray may want throw in some antidotes on this as well. Within any given quarter, we added 200 new customers this quarter. We've been at roughly 200 each quarter throughout this year. And so there is a good strong flow of new customers, kind of across the size spectrum, some very large, some mid market, but one of the things that we do pride ourselves on is the frequency of repeat buying behavior by our existing customers. And that's both within the product that they made their additional purchase in as well as movement across. So most of our service provider customers have both, a CGN and an ADC somewhere in the network. A lot of the folks who have picked up TPS so far have started to either buy or look at buying our ADC product. And as we bring CFW to market, we would expect that to continue as well. So I think there are existing customers are a great revenue source and actually a great reference source for us as we talk to our new customers.
Ray Smets: And just to add a little bit to that. Eugene, this is Ray. So with existing customers, the benefit we get from that relationship is as they grow, we grow. And if we maintain a good relationship as you saw with our top, I think, in revenue producing customer in the quarter, that's a repeat customer and we continue to benefit from those relationships. But as Greg mentioned, we had 800 new customers a year, about 200 per quarter that's a very nice rate for us. So, we are definitely penetrating on the high end with our high-end solution. Cloud and security is definitely have a impact, especially on the enterprise side but the good news is that the base is also continuing to grow. So not all 200 customers are the highest end customers. And our existing customers continue to come back for more. So we're seeing a very good cycle here, it's a great platform. The power's in the platform. It delivers a really great solution for the kind of customer we sell to. We qualify hard and we sell with very high win rate.
Eugene Anderson: Great. If I could just quickly nitpick the OpEx guidance just for a second there. So we're seeing a slight bounceback in R&D. Is that something we should expect? I'm just trying to kind of jive that with what's probably going to be a sequential decline in sales and marketing for this quarter.
Maria Riley: Can you repeat your question, I'm not sure we - so you're asking about the sequential uptick in R&D?
Greg Straughn: You mean from Q3 to Q4?
Eugene Anderson: That's correct, yes.
Greg Straughn: Yes. It's about $125,000 increase there. So it's kind of in the rounding of things, bonuses that come to play at the end of the year. So it's not having a investment, we will see growth in Q1 across both sales and marketing and R&D however. So we are continuing to investment in both those piece of business, again at a lower rate than our revenue growth is expected over the first year because whatever investment we make on the expense side, will be more than exhibited on the revenue growth. And that's how we get to your end of year profitability goal.
Eugene Anderson: Thanks so much.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Lee Chen, Founder and CEO, for any closing remarks.
Lee Chen: Thank you all of our shareholders for joining us today and thank you for your support. Thank you and good day.